Operator: Welcome to the Entravision Communications Corporation First Quarter 2021 Earnings Conference Call. All participants will be in listen-only mode.  After today's presentation there will be an opportunity to ask questions. . Please note that this event is being recorded.  It is now my pleasure to introduce your host, Kimberly Esterkin from Investor Relations. Please go ahead.
Kimberly Esterkin: Thank you, Operator. Good afternoon, everyone, and welcome to Entravision's 2021 first quarter earnings conference call. I hope everyone is staying healthy and safe. Joining me on the call today is Walter Ulloa, Chairman and Chief Executive Officer; and Chris Young, Chief Financial Officer.
Walter Ulloa: Thank you, Kimberly, and good afternoon, everyone. We appreciate you joining us for Entravision's first quarter 2021 earnings call. Entravision posted strong results for the first quarter with net revenue of $148.9 million, up 132% year-over-year. On a pro forma basis including Cisneros Interactive revenue in our prior year results, revenue increased 43% over the first quarter of 2020. Growth during the quarter was driven by our core broadcasting businesses excluding political, along with the continued strong performance of our digital segment. We are pleased to see our underlying businesses continue on an upward course, since a pandemic driven lows in 2020. I'd like to thank all of our employees for an excellent first quarter as we continue to navigate the pandemic. Each of our businesses is now firmly on the path to recovery. And our first quarter results gives us confidence and an optimistic outlook for the balance of 2021. Adjusted EBITDA totaled $14.2 million for the quarter, which is up 47% from the prior year period. On a pro forma basis, accounting for Cisneros Interactive, adjusted EBITDA increase a solid 35% year-over-year. From an expense management perspective, we continue to operate as a much more efficient business. Our lean cost structure is helping propel our company forward as macro economic conditions continue to improve. Chris Young, our CFO will speak further about our first quarter expenses later in today's call. Now let's take a look at our segment performance for the quarter. Our television division generated $36.1 million for the first quarter, down 8% compared to the prior year, primarily due to lack of non returning political revenue compared to the first quarter last year, excluding $5.3 million of non returning television political spend in the first quarter of 2020. Core television advertising increased by 3%.
Christopher Young:
Walter Ulloa: Thanks, Chris. As I mentioned at the beginning of my prepared remarks, we are very pleased with our results for the first quarter with our core broadcasting businesses performing well, along with our digital segments that continues to see exceptional growth.
Q - Michael Kupinski: Thank you, and congratulations on an amazing quarter. You did a much better job in digital than I expected. And I was wondering how did your legacy digital businesses perform in the quarter? And then if you could just give us a flavor of Cisneros and how did it perform better than you expected? And maybe give us a flavor of what's driving maybe their growth outside of you adding the business to your digital business. I'm just trying to understand that how core is growing and what's driving that growth at this point?
Walter Ulloa: Well, thank you, Michael. So I'll start with this a sales question first. It did perform much better than expected. I think the budget was plus 40% versus first quarter last year, and we wound up finishing, over 100% growth in the first quarter with that business. And, it's just a combination of, of our team. Our sales teams executing better and providing more better solutions to our advertisers in Latin America. And yes, the popularity and call it the performance of Facebook, Spotify and LinkedIn, primarily Facebook, of those three products. As for the other -- as for the rest of our digital businesses, we have three digital businesses. I started off by giving you some color on our Cisneros international sales rep business. But we also have a U.S. digital business, which includes providing digital advertising solutions to advertisers, mostly SMBs, who primarily want to reach Latino consumers in the more than 29 markets, we operate across the U.S. So this team works alongside our broadcast sales team as well. And then another core part of our U.S. digital business is our audio programmatic business where we are connected to major audio buying platforms, including Cats, Adways and Triton. And then we offer our own audio inventory to these major audio platforms, as well as our audio exchange network. So together -- and these two businesses are the core businesses of our, what we call our U.S. digital unit. And they were up 39% compared to the first quarter of last year. And then, the third leg of the stool is our Entravision International, which is another important part of our digital next. Our core product in this unit is Smadex. It's our programmatic mobile-first DSP. And it's -- call it, core mission is to provide marketers with the downloads of apps, primarily gaming, Fintech and entertainment categories. This business operates internationally with about 68% of the sales generated in international territories. And about 32% of sales coming from the U.S. in the first quarter. And Smadex grew its revenue 21% over the prior year period. So that just gives you kind of a summary of our digital business as a whole.
Michael Kupinski: Do you started to see political advertising related to the California recall? And can you give us your thoughts on political advertising for this year?
Walter Ulloa: Well, I'll just give you my thoughts. And then Chris, I'm sure, we'll have some other thoughts. We all believe here that in order for Newsom to continue as governor of California, he has to have a big turnout by the by the Latino voter electorate. So I think it's all going to depend on the Latino voter in California, in terms of who wins the election. And I believe that Newsom has the -- certainly has the advantage. He's well familiar with the Latino community. He appointed __ to the US Senate. I'm sorry, for that Alex Padilla to the U.S. Senate, which was a major appointment. And certainly I know that the Latino community was very pleased with that decision. So, what the number maybe? We don't know. We've kind of thrown numbers around as to what it might look like at somewhere between maybe $2 million to $4 million of additional revenue primarily in the fourth quarter. Chris?
Christopher Young: I agree. I think $2 million, $4 million is probably the right number, at least as we stand here today. So…
Walter Ulloa: Michael?
Michael Kupinski: Yes. I was wondering if you could just talk a little bit about the soccer tournament and what the revenue impact might be in the upcoming quarters as well?
Walter Ulloa: So we've got three tournaments coming up. Its going to be a lot of soccer, both on TV and radio. You've got the Euro Cup. You've got Copa America, and then you've got the Gold Cup. The right number to think about those incrementally as far as revenue is concerned, it's probably an incremental $2 million to $3 million, primarily falling in Q2, but some will bleed into Q3. And again, that will be a both on TV and radio.
Michael Kupinski: All right. Thank you very much.
Walter Ulloa: Thank you, Michael.
Operator:  I'm showing no further questions. This concludes our question and answer session. I would like to turn the conference back over to Walter Ulloa for any closing remarks.
Walter Ulloa: Thank you, Sarah. And thank you again, everyone for joining us today and for your support. We are optimistic about the future of Entravision and look forward to sharing our progress with you on our second quarter earnings call in August. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.